Operator: Good morning. My name is Caroline [ph], and I will be your conference operator today. At this time, I would like to welcome everyone to the OGE Energy second quarter earnings call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. Todd Tidwell, you may begin your conference.
Todd Tidwell: Thank you. Good morning, everyone, and welcome to OGE Energy Corp's second quarter 2010 earnings call. I'm Todd Tidwell, director of investor relations. And with me today, I have Pete Delaney, chairman, president, and CEO of OGE Energy Corp; Sean Trauschke, vice president and CFO of OGE Energy Corp; and, several other members of the management chain to address any questions that you may have. In terms the call today, we will first hear from Pete, followed by an explanation of second quarter results from Sean. And finally, as always, we will answer your questions. I would like to remind you that this conference is being webcast. And you may follow along on our Web site at www.oge.com. In addition, the conference call and the company slides will be archived following the call on that Web site. Before we begin the presentation, I would like to direct your attention to the Safe Harbor statement regarding forward-looking statements. This is an SEC requirement for financial statements, and simply states that we cannot guarantee forward-looking financial results, but this is our best estimate to date. In addition, there is a Regulation G reconciliation for ongoing earnings guidance in the appendix, along with projected capital expenditures. I will now turn the call over to Pete Delaney for his opening comments. Pete?
Pete Delaney: Thank you, Todd. Good morning, and welcome to our second quarter earnings call. This morning, I'll discuss our recent accomplishments and our important initiatives, our outlook for our businesses. And Sean will review in more detail the financial results. Our second quarter results from operations were $0.78 a share, up from $0.72, compared to the second quarter of last year. And I'm pleased to report increased earnings of both utility and midstream business. Utility earnings increased primarily due to higher approved rates associated with the significant capital invested to maintain system reliability and to be able to provide additional renewal energy resources to our customers. However, the earnings impact was tempered by higher operating expenses, primarily resulting from plant maintenance. You may remember, on the first quarter earnings call, we projected higher O&M expenses for the remainder of the year. At Enogex, earnings increased 44% as we experienced record volumes in the gathering business, record volumes in the processing business as well as higher natural gas liquid prices, compared to the second quarter of last year. Gathering volumes increased more than 6%. And processing volumes grew nearly 19%, compared to last year. However, natural gas liquids sold and produced increased by almost 50% from 120 million gallons to 179 gallons during that same time, so processing margins were up $21 million, including a doubling of the fixed fee volumes further reducing the volatility of that contribution looking forward. This is all to demonstrate the continuation of robust drilling activity in the very liquids rich basins of Western Oklahoma, where we are very competitively positioned. Producers have indicated that these basins are their most profitable drilling areas, including the shale plays. Moving on to the Oklahoma economy, it continues to remain stronger than most of the country. The Oklahoma City and state unemployment rates are 6.7% and 6.9%, respectively, both well below the national average. However, like much of the country, state and local governments are under spending pressure as tax revenues have declined. Year-to-date, we've added over 2,800 customers to the system, which is an annualized growth rate of about 0.7% per year, slightly below our historical average of just under 1% per year. We've also added about 5 megawatts and new industrial load this year and projecting additional 12 megawatts during the second half. Our industrial load increased for the fourth consecutive quarter. And industrial sales were up 9% since June of last year. And while not official, we believe a new peak substantially above our previous last peak that occurred in 2006 was met this week. We are very encouraged by this recovery in sales, but remain cautious regarding the overall economic outlook. Since our last call, we have executed several significant milestones in progressing forward our smart grid, our transmission, and wind generation portfolio initiative, first, our $366 million system-wide smart grid rollout, which included a $127 million of federal stimulus funds that was approved by the Oklahoma Corporation Commission on July 1. As you know, the implementation of smart grid is a critical component of our strategy to reach out – to reach our demand response goals to advance our customer relationships and improve operations through improved reliability, yet providing for a $22 million reduction and OEM implementation is complete. We expect this improved program will be fully implemented by the end of 2013. Second, the $450 million Crossroads Wind Farm was approved just last week, and should be operational in late 2011. As in the smart grid case, we are very pleased to have reached another settlement for the OCC to approve. The project was upsized from 198 megawatts to 228 megawatts following the Southwest Power Pool to approve interconnection requests last Friday. Like our smart grid program, Crossroads provided significant savings projected to start in 2013 to our customers over the life of the project. Once all of our wind projects are complete, which would be by the end of 2011, our renewable portfolio would be at about 10% of our generation mix, which is slightly above our near term goal of 750 megawatts. This month, in Arkansas, we will file for recovery of the OU Spirit Wind Farm. And separately, we plan on filing a generate case related to our infrastructure investments. Our transmission program continues to advance, with the FERC approving in June the SPP allocation methodology for our high voltage transmission projects prompting the Southwest Power Pool to issue notices to OG&E to construct portions of two transmissions for operation in 2014. We have 90 days to notify the Southwest Power Pool of our intention to build these lines. One of these lines is the Woodward to Hitchland line, which was the key part of our Tallgrass Transmission joint venture created to construct over 765 kV lines. The notice to construct was for a 45 kV line, which we built by OG&E. While we have written off $1.3 million of expenses related to the Hitchland in the Tallgrass joint venture, we remain interested in building 765 kV lines under that joint venture. We're confident that all of these projects will be accretive to the bottom line. And at the same time, they collectively produce savings to mitigate the rate impact on our customers. We remained focused on the value for the customer, not only investing to meet our business initiative, but finding ways to reduce the impact on our customers as well. Turning to Enogex, I mentioned in prior calls that Enogex was evaluating many projects. And the capital expenditures were expected to increase this year and next as we have only committed projects from our past projections. Since the last call, our capital expenditure projections have increased by $140 million to 2011. The biggest driver of the increase is the construction of a $200 million a day processing facility located in Canadian County, Oklahoma. This $124 million project is expected to be operational by July of 2012, and will increase processing capacity by over 20%. We've also invested in gathering systems and compression expansions driven again by the robust drilling activity in Western Oklahoma and Texas Panhandle. We continue to see ample opportunities available for continued growth and tend to continue to vigorously pursue them. The addition to the Crossroads project will lead us to raise equity most likely in 2011 to support our balance sheet as we are committed to maintaining strong credit ratings. As I discussed in the first quarter earnings call, we continue to assess various alternatives to raising equity, and with the primary consideration being the cost of capital. In any event, whichever route we take, it will be used – it will be the support projects that we believe are in the best long term interest of our stockholders. Today, we're reaffirming our 2010 ongoing earnings guidance assuming normal weather, with expectations that EPS will come in towards the high end of the range. There's still a lot of the year left, but we're comfortable regarding our earnings outlook given year-to-date results. We continue to hit the milestones on our key business initiatives at both OG&E and Enogex, at the same remained focus on meeting challenge associated with our day-to-day operations. With a lot going on, I would, once again, like to recognize our members who are stepping up and delivering these results. And now, I'd like to turn it over to Sean to discuss the details of our financial results. Sean?
Sean Trauschke: Thank you, Pete. For the second quarter, our net income was $77.23 million or $0.78 per average diluted share as compared to net income of $70.5 million or $0.72 per average diluted share in 2009. The contribution by business unit on a comparative basis is listed on the side. Before moving on to the business unit results, let me address the results of the holding company. As Pete mentioned, we wrote off expenses of $1.3 million in the Tallgrass joint venture as it no longer – it is no longer probable that the line to Hitchland will be built to 765 kV based on the recent notices to construct we received from the SPP to build that line as 345 kV. That being said, we're still interested in pursuing the construction of the 765 kV line within the Tallgrass joint venture when, and if, 765 kV is approved. Turning to our marketing business, we have a few remaining transportation agreements in our business, which, due to the lack of favorable spreads, we were unable to recover demand fees in the second quarter. The total transportation demand fees for the quarter were $2.8 million. At OG&E, net income for the quarter was $60 million or $0.61 per share as compared to net income of $56.4 million or $0.58 per share in 2009. Some of the primary factors are as follows, gross margin increased $45 million or 19% – and I'll touch on gross margin on the next slide. Operation and maintenance expense increased by $23.3 million, primarily due to higher power plant maintenance expenses and higher pension, post-retirement, and medical expenses. Also included in the increased OEM is $4.5 million of expenses that also have revenue offsets in the form of riders. On the last earnings call, we mentioned that operation and maintenance expenses would trend higher, primarily due to planned power plant maintenance and tree-trimming activities. And that has occurred as we have planned. Depreciation and amortization expense increased $4.6 million, primarily due to additional assets being placed into service, including the OU Spirit Wind Farm and (inaudible) transmission line. Net other income and expense was lower by $5 million, primarily due to lower amounts of AFUDC equity and lower margins associated with the guaranteed flat build program, which is based on normal weather. Finally, interest expense increased $2 million, and partly due to higher long term debt balances. Now, turning to gross margin, as you can the driver on this slide was a $45 million increase in gross margin at utility for the second quarter, compared to 2009. Various riders, including the OU Spirit Wind Farm increased gross margin by $26.7 million. And the Oklahoma rate increase implemented in August of 2009 added $14 million – $14.9 million of gross margin. You can also see on this slide the other drivers for the quarter, including the Arkansas rate increase and the benefit of new customer growth. Weather was slightly more favorable, compared to last year, which increased gross margin $1.8 million. Compared to normal weather, gross margin increased $4.7 million. Megawatt-hour sales revenue was up nearly 3% for the quarter. Industrial sales were up 12%. And our overall customer growth rate year-to-date was 0.70% with the majority of customer growth occurring in the residential sector. For the year, megawatt-hour sales are up 4%, compared to 2009. Now, turning to Enogex, net income for the quarter was $22.3 million or $0.23 per share as compared to net income of $16 million or $0.16 per share in 2009. The largest variance was the gross margin, which increased by $19.1 million or 23%, which I'll discuss in just a moment. The other primary driver was operation and maintenance expenses, which increased $6.5 million, in part due to higher employee costs and increased third party engineering and inspection services. Now, turning to gross margin, the vast majority of the increase to gross margin came from the gathering and processing businesses. Volumes increased 6% and 19%, respectively. And realized commodity spreads increased from $3.50 per MMBtu in 2009 to $4.74 per MMBtu in 2010. Natural gas liquids prices also saw a significant increase from $0.66 per gallon in 2009 to $0.86 per gallon in 2010. Condensate volumes were up 14%, due primarily to a richer natural gas stream, cooler spring weather, and increased operating efficiencies at our processing plants. Condensate contributed $7.5 million of gross margin, compared to $4.9 million in the second quarter of 2009. The other volumes for the month of June and the second quarter have hit all-time records. Forty million MMBtus were gathered in June, and 117 million MMBtus were gathered in the second quarter. Not only are our volumes increasing, but we're also increased our fixed fee percentage in the processing business as our fixed fee contract mix grew from 17% to 28% quarter-over-quarter. Transportation gross margins fell primarily due to lower cross-sell volumes as the basis differential of moving gas from the western part of Oklahoma to the eastern part of the state declined, compared to the second quarter of 2009. For a more detailed explanation of these financial results, I would refer you to the company's second quarter 10-Q filed with the SEC this morning. Before turning to your questions, I would like to address some of the changes we have made to our 2010 guidance. As Pete mentioned, we are reiterating that projected ongoing earnings for 2010 will be at the upper end of the $2.70 to $2.95 range. However, some of our key assumptions have changed from our previous guidance. At the utility, we are projecting an increase in the effective tax rate for ongoing earnings driven by lower than expected production investment tax – and investment tax credit and the ongoing impact of losing the tax reduction on the Medicare Part D subsidy. Also, the approval of the Crossroads Wind Farm is expected to increase pretax equity AFUDC by $2 million. At Enogex, volumes for both gathering and processing are expected to increase more than previously forecast as producers continue to expand in the Granite and Colony Wash, and the (inaudible) area. We also are projecting methane to be in rejection for the remainder of 2010. Full ethane rejection began in late June. And depressed prices make full recovery uneconomical. Finally, we expect higher operating expenses as a result of pipeline integrity projects we elected to pursue. And at the holding company, our projected loss of $0.11 to $0.13 per share was up from the previous projected loss of $0.07 to $0.09 per share as a result of the lower marketing revenues in the second quarter, associated with the transportation contract and the Tallgrass write-off I mentioned earlier in the discussion. This concludes our prepared remarks. And now, we'll turn it over to questions.
Operator: (Operator Instructions) We'll pause just a moment to compile the Q&A roster. Your first comes from the line of David Frank [ph]. Your line is now open.
David Frank: Hi. Good morning, guys.
Pete Delaney: Good morning, David.
David Frank: A question, I mean it looks like you have a pretty large bump-up in CapEx forecast. And I guess what every investor is going to wonder is will the increase in CapEx net of any financing expenses to support it – will this be additive to your previous forecasted growth outlook for the company?
Sean Trauschke: Sure. David, this is Sean. No, we said that if you're referring to our growth rate of 5% to 7%, we're still good with that 5% to 7%. Recall that when we originally said that 5% to 7%, we've set that off a base of $2.45. And then, we updated that off a base of $2.60. So we haven't increased that because of the base. The second point I'd make is that 5% to 7% is a long term growth rate. So you're exactly right. The CapEx has increased. But if you look at the CapEx schedule we provided you, not all of this CapEx was occurring in the first couple of years. Crossroads is. But if you look at the priority projects and some of these other projects, they're layering in over time, so you're going to see more of a steady growth.
David Frank: Right. Is it safe to assume that you're better off with it than without it?
Sean Trauschke: That's absolutely true.
Pete Delaney: Absolutely.
David Frank: Absolutely, okay. Great. Thanks, guys.
Pete Delaney: Thank you.
Operator: Your next question comes from the line of Brian Russo. Your line is now open.
Brian Russo – Ladenburg Thalmann & Co.: Just a follow-up on the previous question-and-answer about the 7% growth rate, it just seems that the CapEx on the utility side sets you up for some nice growth just on the utility side independent of where Enogex performs. But would you say there's a bias towards the top end of that 5% to 7%?
Sean Trauschke: Again, Brian, that's a long term growth rate. And we're going to stick with that as the long term growth rate. And so, some years it's going to be a $0.10, some years this will be a low end. But we're comfortable with the range there.
Brian Russo – Ladenburg Thalmann & Co.: Okay. You mentioned the possibility of raising equity to finance some of these incremental utility projects. Can you quantify the amount that you're considering?
Sean Trauschke: Sure. So Pete mentioned that we're – with the Crossroads investment of $450 million, I think you ought to think about that in terms of a 50-50 cap structure. That is incremental to our plans. We would finance that roughly at 50-50. So $200 million to $250 million of equity would be a good range of number there.
Brian Russo – Ladenburg Thalmann & Co.: Okay. And what about the longer term transmission related projects? I realized there's a 2014 timeline. But when would construction start on that? And would you need incremental external financing for it?
Sean Trauschke: That will be against the point from our investing capital next year, a pretty nominal amount for those two priority projects. But we really don't get into the heavy lifting there until 2012 and '13. So hopefully, with retained earnings, we'll address that funding need. But to reiterate what Pete said, we're going to protect the balance sheet, but we don't envision significant equity needs to that.
Brian Russo – Ladenburg Thalmann & Co.: Okay. And can you just comment on what you're seeing in NGO pricing? For the early year-over-year it's been up. But I've just heard that there's a lot of NGO in the surrounding base in this annum. I'm just wondering what you see the remainder of the year.
Sean Trauschke: Pete, would you take that call?
Pete Delaney: Sure. Certainly, with all the producers focusing on the rich plays, NGO production has increased in a lot of areas. But we believe that our projection is that we have some of those considerations in there. Certainly, forward market would present that. So we think that we're pretty – we're okay with our projections.
Brian Russo – Ladenburg Thalmann & Co.: Can you remind me of the sensitivity that you guys had previously outlined in terms of changes in commodity spreads and what the annualized net impact that has?
Sean Trauschke: Yes. So what we said, Brian, was for a 10% move for the entire year, in commodity spreads was about $4 million of net income.
Brian Russo – Ladenburg Thalmann & Co.: Okay. And I would imagine given your migration towards more fixed fee business, will that sensitivity decrease in '11 versus '10?
Sean Trauschke: It should, yes. The offset there would be – as you recall in 2010, we had roughly 75% of our CIPO [ph] volumes were hedged. Next year, it's closer to 50%. But directionally, you're correct.
Brian Russo – Ladenburg Thalmann & Co.: Okay. And then lastly, there is some recent activity in the midstream M&A environment. Specifically, I think there was a deal announced in Oklahoma. And I was just wondering if you can just comment on your ongoing initiatives to pursue strategic alternatives for Enogex.
Pete Delaney: Yes. I mean we're very much aware of that. I think you're talking about the Atlas transaction that you're referring to.
Brian Russo – Ladenburg Thalmann & Co.: Yes.
Pete Delaney: On the Enbridge, on the western parts of Oklahoma, we operate in that area, so we're much aware of that. We're aware of it. And so, we're anticipating that that particularly – in the event of that situation that that may be an eventually. We are very well competitively positioned. We remain so. We are fortunate when we look organically at our position. We have significant opportunities. I mentioned in the call that these areas we operate – and Aubrey McClendon, again, just this week I think was quoted as saying. And we've heard that from Chesapeake as well as other producers that this in fact is their most profitable in the Granite Wash area because of the rich natural gas liquid production from all their positions. And Chesapeake as an example or in some very – in all the basins – in all the shale plays in the country. So that's quite a statement. Excuse me. So we do see substantial organic growth opportunities. As I said in earlier calls, we only are projecting known and committed projects that we do. So we do expect that that are forward CapEx will be increasing as we have this quarter. We have the – the Enogex folks are very busy and working very hard because of all the opportunities we have. So we are – again, have a lot of organic opportunities. If there's an acquisition, a potential that has the right value for us and works, and is complementing to our system, and can produce synergies and a higher return for our assets, then we'll take a hard look at it. But we still like our position in the big continent. And we're really excited about our potential growth opportunities that we have.
Brian Russo – Ladenburg Thalmann & Co.: Okay. Great. Thank you very much.
Operator: (Operator Instructions) Your next comes from the line of Jay Dobson. Your line is now open.
Jay Dobson – Wunderlich Securities, Inc.: Hi. Good morning.
Sean Trauschke: Hi. Good morning, Jay.
Jay Dobson – Wunderlich Securities, Inc.: Question, Sean, on the guidance, I just want to understand puts and takes as far as why it remains where it is. But I do note in the press release, you exclusively indicated it's based on weather, and took note of Pete's comment that I think last week you hit a new peak, and understanding that weather can change a lot between here and year-end. But I'm just wondering how you think about what's happening right now and what that could do to earnings.
Sean Trauschke: Yes, good questions. So the issue there is – you're right. We're counting on normal weather. It's been very warm here. I think it's a different type of warm now. Just because it's in the 90s in Oklahoma, it doesn't mean it's above normal. That's expected. But it is – it's been very warm here the last couple of weeks. The first part of July, it was in the 80s. And we have a lot of rain. So the third quarter, Jay, just to put it in perspective, is between 60% and 70% of the earnings contribution for the utility for the year. So it is a big quarter. And that's the important point to take there. From a weather standpoint, it looks like it's been good for July. June was a good month. May and April were so-so. So on balance, we were a little bit ahead for the quarter. But certainly, the third quarter will turn that around either way.
Jay Dobson – Wunderlich Securities, Inc.: Okay. Fair enough. And then on Enogex, I wanted a little more details on OEM. You indicated it was third party expense. And then later on in your comments, you talked a little bit about these pipeline integrity initiatives you had. Just dig down a little bit for me and tell me what's going on there, the trends for this year and next.
Sean Trauschke: I think what – just to be perfectly clear, what we're doing there is we saw the opportunity that we could do some of this integrity work and some of this maintenance now – actually, earlier in the year and maybe not accelerated in from 2011 to minimize the business interruption. And that's for our customers.
Jay Dobson – Wunderlich Securities, Inc.: Yes, I'm sure. Fair enough. And then Pete, back to the equity question. I know you're getting asked this all the time, but your latest thoughts. I mean obviously, you've got a number of different alternatives to consider when you think about raising $200 million or $250 million of equity, how you think about it straight common versus MLP versus any other alternatives; and understanding it's an ongoing process you're going to give in your final answer here.
Pete Delaney: Yes. I'll reiterate what I've said before about our commitment to long term value creation for shareholders and to us. That obviously translates into our lowest cost of capital. Again, those alternatives have to be consistent with our really long term financial and business strategies. I guess at this point, we're still not – we're not in a position to really discuss or comment on the process at this time just to say that we really remain committed to value accretion. And again, because of where the stock – I've said consistently over time, we don't believe our OGE stock reflects the full value of Enogex. So given that view, alternative transactions may well evolve – may well involve Enogex. But in the event – at the time – if we do come at the – a point – in the position to comment further, I'll just assure that we will communicate with you as soon as we can.
Jay Dobson – Wunderlich Securities, Inc.: That's great. Thanks a lot. And Sean, just one more, on the hold co expenses, I appreciate that those expenses are going up. And so, on your slide nine, I guess it is the difference there. But does that include the write-off of $1.3 million, and then the unrecovered demand fees?
Sean Trauschke: Yes it does. Jay, sorry. I'm sorry.
Jay Dobson – Wunderlich Securities, Inc.: Go ahead.
Sean Trauschke: It absolutely does. Essentially, we weren't anticipating that in the second quarter. And that's why the guidance has essentially moved up $0.04.
Jay Dobson – Wunderlich Securities, Inc.: Perfect. Can you remind me the longer term range on hold co expenses, if we're looking out to '11 to remain at that $0.11 to $0.13 level? Or is there something than it then reverts back to a number sub $0.10?
Sean Trauschke: We haven't honestly – haven't given '11 guidance. But I think we're focused on that historical range of that $0.07 to $0.09 is probably a good way to think about it. We don't anticipate, obviously, to write-off the expenses associated with Tallgrass. We're done with that. We don't anticipate another quarter where there's just actually no basis opportunity for us to recover the demand fee.
Jay Dobson – Wunderlich Securities, Inc.: That's great. Thanks very much for the time.
Sean Trauschke: Okay. Good luck.
Operator: And there are no further questions at this time. So I'll turn the call back over to the presenters.
Sean Trauschke: Thank you, operator. In closing, I'd like to say we just remain very excited about our plans for continued growth in both businesses. We remain on track. I think that that's in spite the accomplishments of this quarter. We're on track in executing the strategy we laid out several years ago. I thank you for your continued interest in OGE Energy, and have a great day.
Operator: This concludes today's conference call. You may now disconnect.